: Francois Boissin – Exane BNP Paribas William Hawkins Marcus Rivaldi Cor Kluis – Rabobank
Operator: Good morning. This is Yvonne welcoming you to ING’s Q2 2011 Conference Call. Before handing this call over to Mr. Jan Hommen, Chief Executive Officer of ING Groep, let me first say that any forward-looking statements in today’s comments are subject to a number of current views. Assumptions and variables including interest rates, foreign exchange rates, and inflation rates, movements in security markets including equity markets and underlying economic conditions and changes. They are set out in greater detail in our public filings, which we would urge you to read. The realization of forward-looking statements could be materially altered by unexpected movements in any or all of these and other variables. Good morning, Jan. Please go ahead.
Jan Hommen: Thank you very much. Welcome everyone to the ING’s second quarter results call. First of all, I understand there were some problems in the website this morning, but in the meantime, they have been fixed. So we apologize if you had trouble getting access, but it should be okay now. I’m happy to report that the Bank posted another solid quarter and that the Insurance company showed significant result improvements as initiatives that we introduced last year continue to get traction. We also made great strides in restructuring the Group. We paid 3 billion to the state in May, announced that we were selling ING Direct US for $9 billion and ING Car Lease for EUR700 million. And also we announced the sale of our Latin American life, pension and investment management business for EUR2.7 billion. I will talk you through the presentation now, and afterwards Koos Timmermans, Patrick Flynn and Matt Rider are here with me, and we are all available to answer your questions. ING Groep reported an underlying net profit of EUR1.528 billion in the second quarter, up 19.7% from a year earlier, and up 4.4% from the previous quarter. The results on the Bank posted a solid underlying result before tax of EUR1.3 billion and the Bank results benefited from a healthy interest margin. We had higher client balances, we had lower risk cost, and we had an improvement in the expenses versus the first quarter. Bank results were negatively impacted by EUR187 million as a result of impairments of Greek government bonds which largely explain the lower results if you compare Q2 last year versus the first half this year. The underlying results of Insurance company showed a significant improvement compared with a year-ago and also compared with the first quarter of this year. Operating results were up by 82.5% to EUR690 million and pretax result increased to EUR673 million, despite a EUR123 million impairment on the Greek government bonds. And we also maintained strong capital ratios even after repaying the Dutch states the EUR3 billion in May. Core tier 1 at the Bank was 9.4, and including the announced divestments of ING Direct US and Car Lease and REIM, the pro forma at core tier 1 would have been 10.7. The insurance solvency ratio improved to 252% at the end of the second quarter. On slide three, you can see that ING Bank second quarter results were very solid. Down from a year-ago, but due entirely to the Greek bond impairments and an EUR86 million on the sale of an equity stake we had in India last year in the second quarter. Insurance showed a strong increase as performance improvement initiatives are getting traction. The operating results of EUR690 million was ahead by 83% from the second quarter year-ago and 35% from the previous quarter, and were driven by a higher investments and by technical margins. Underlying results of EUR673 million included the impairment of EUR123 million of Greek government bonds. And, for the Group, they have left an underlying net profits of EUR1.528 billion and there was a 19.7%, and net profits after-tax of EUR1.507 billion which included a negative EUR22 million from divestment and discontinued operations and special items. If I add to that, the after-tax impairment on Greek bonds of EUR231 million then the net results would have been EUR1.738 billion, so a significant number. On slide four, you see the exposure to Southern European sovereigns impacted negatively by the impairments we took on Greek government bonds. We have taken impairment on the exposure of bonds that we have maturing before 2020, and this means that we still need to impair the market value and IFRS rules which has a negative impact on the results of a EUR187 million for the Bank and EUR123 million for the Insurance company. So the impairment was done back to market value. Slide five, you see that when we compare the ambition that was set in 2009 versus the ambition we had for 2013, we’re making very good progress. We are ahead so far on underlying income. We are doing I think relatively well on the cost and income ratio, although it went up. But if you eliminate the market impacts, it is down to 54.3% in the first half of this year. Our target still is and we maintain our long-term target to be 50%. And we see that the underlying risk cost were at the normalized level of 44 basis points in the first half of this year. And you see that the return on equity improved significantly on an IFRS basis 12.7%. And if you look at it based on the original core tier 1 of 7.5% at the time that we made the plan it would have been 18.6%. So very good performance I would think here. Insurance, a clear progress on the ambition that we have set for 2013. Investment margin, investment spreads went up to 99 basis points. Expenses, administrative expenses came down to 38.9%, a little bit of help here from one-time events, but still a good improvement. Our sales is the one lagging and we’re paying a lot of attention to sales, but I must say compared with the first half last year, a little bit better than the first half last year of more or less at the same time. And then the return on equity as I am very pleased with that one that we are getting into territories that are, I think, quite respectable 8.4%. On page seven, you see the core tier 1 developments. When we start at December 31, it was 9.6. You know that we paid the State EUR3 billion, we generated capital 4.7%, and so we ended up at 9.4. And if we include the divestments we have already announced and the impact of that on our capital then we would have shown 10.7%, not including yet the addition that we expect for earnings during the second half of this year. Page eight shows the sale of our Latin American Insurance and IM businesses to GRUPOSURA for EUR2.7 billion. Not included in the transaction is our ownership, 36% ownership in the Brazilian insurance company Sul America. But anyway you look at it, I think we did quite well, we good price for this, and at the same time we found, I believe, a very good buyer for the business who has with the addition that they have already I think a very good position in Latin America to be one of the premier insurance and pension management companies in the region. When you look at page nine, you see the strong capital generation of the Bank that we used that to pay the Dutch State, and we aim to do that sometime in May next year, in May 2012. And then if you assume that the proceeds of our Latin American operations will stay within Insurance, then the transaction will reduce the leverage in the Insurance holding company by EUR2.8 billion, and that’s an important milestone that we prepare for two IPOs, one in the US and for our Asian insurance companies. And then the proceeds from the IPOs we will use to pay back the double leverage that we have in the Group. Our separation process is on track. We call that our readiness program that is really on track. We are basically at where we should be. There is no delays, no hiccups, no major hiccups at least. We have spent so far this year EUR51 million in the first half. We did EUR31 million in the second quarter and we expect that the total will be about EUR200 million for the year. Also, we have started preparing for IPO. We have already mentioned my expense, but these are non-regret expense that we have made so far, and that’s about EUR10 million. We expected that could run up to EUR50 million it has to do with let's say preparing US GAAP statements and things like that. We also announced today and some major announcements in the Management Board; announced that Eric Boyer, our Vice Chairman of the Bank will be retiring October 1. Koos Timmermans, our Chief Risk Officer will become the Vice Chairman in the Bank; and Wilfred Nagel will become the Chief Risk Officer and will take Koos's position in the various Boards and the Management Board Bank and Insurance company until Wilfred has been confirmed by the shareholders which we expect in the Annual Meeting next year; and Patrick Flynn will be responsible for the Group Risk Activities. But, of course, Wilfred will be the Chief Risk Officer and be in all the meetings. And, I’m very happy with these nominations. Eric has been looking at retiring already for some time, we had been convincing him not to do it until now but time has come for Eric, and he has been a great performer in ING, and we thank him tremendously for what he has done for ING. Let’s go to the Bank. You see the performance at the Bank that the underlying pretax results of EUR1.3 billion including a EUR187 million of impairments for our Greek bonds. And our loan losses we had a EUR370 million or 47 basis points in the quarter, really at normalized levels. We anticipate going forward that the losses will be lower than the average for last year. Interest margin still healthy at 142 basis points, interest results were at EUR3.350 billion, and the margin development you can see in the lower side of the slide, and you can see also that I think we did quite well in holding up our interest margin. We see a little bit up of slippage here in particular in the retail business and in the Netherlands and Belgium, but we got some positive contribution from our direct activities and then international. Also a good performance on lending and on funds entrusted to the bank. And we increased our lending activities in our mortgage business, both in the Netherlands as well as in ING Direct, and not only the Netherlands also Belgium we picked up more activities in our mortgage markets. Expenses declined if you compare them with the first quarter. In fact, we had two consecutive quarters of decline. The cost income ratio went up slightly, but at 44.6% that is excluding market related volatility I think is still okay, and as I said earlier, we continued to strive for the 50% in the longer run. And also I must say that given the circumstances, the economic environment and the financial markets as they are, we are very vigilant on costs. And, in fact, we will be stepping that up. We have taken in the past significant reductions. I cannot exclude them but at this moment we have nothing to announce here, but we will be extremely careful on hiring. In fact, we will be looking at every vacancy we have very carefully and at the same time we will continue to look at how can we be very stingy with project approvals and purchasing activities to make sure that if the economy turns the wrong way then we are well prepared for that. You see our risk costs, they were 47 basis points. And as I said earlier, we expect that going forward, they will be at the level of the – a little bit below the average of last year. On page 18, slide 18, you see our nonperforming loans. That remains stable at 2.1%. The risk costs were EUR38 million higher here than the first quarter and that was mainly driven by the mid corporate and the SME segments and retail Benelux and the ING Real Estate finance activities. And the latter one was mainly due by two cases, specific files we had in the Netherlands and in Australia. And on the right hand of the slides you can see that the Bank’s nonperforming loans as a percent remains stable at 2.1%. And the areas that showed an improvements except for real estate finance and leasing and factoring, they showed a slight increase. Looking at slide 19, you see our funding. We have been very active lately in our long-term funding. The remaining exposure that we have in 2011 is quite manageable. And what we have done here, we have really I think made the funding part of our balance sheet stronger by having more long-term debts, and that really has helped our liquidity position as well. Let me now turn to Insurance. A strong improvement in results in the second quarter. Operating result of EUR690 million, non-operating result was a negative 17 and that included a EUR123 million impairment on the Greek government bonds, and also a EUR109 million impact related to changes of provision for guarantees on separate account pension contracts in the Netherlands and they were offset by positive re-evaluations and by hedging gains. On page 22, you see the investment spreads that increased to 99 basis points. The investment margin went up to EUR476 million and that was mainly attributable to reinvestments and to fixed income securities in the Netherlands and the US and also because we had lower swap rate expenses in the US, as well as higher dividends on equity securities and a EUR28 million of nonrecurring items in the Netherlands. And if you compare that with last year then the investment spread now is a 99 basis points compared to 79 basis points a year-ago, so a significant improvement compared with a year-ago. Also, you should include the fact that Latam, that was not included in these numbers any longer because they are reported as discontinued operation and that has reduced the spread by about 3 basis points. Technical margin was strong. Fees and premium based revenues grew by 3.6%. That was primary driven by increases in the closed block VA and the ING Investment Management. Technical margin was EUR260 million, that is about 53% higher than Q2 of last year, and that result benefited from an early surrender of a contract of a large fund in the Netherlands that had an impact of about EUR70 million. Administrative expenses, they were under tight control. And you can see that reflected in the graph on the right side as well as also on the left side. They declined administrative expense as a percent of total operating income to 38% and that was resulting largely from an increased operating income. New sales, slide 25, of EUR944 million, that was about 14% lower, but 6% of that had to do with this currency effect from the second quarter of 2010 and mainly as a result of lower sales in the Benelux and in the US. In the Benelux and in the US and Asia Pacific, the fact that sales were down had to with seasonal effects traditionally the first quarter is the high quarter, but also in Hungary and in Poland, pension sales were negatively impacted by some regulatory changes that were made by the governments. When you look at solvency, solvency ratio strengthened. It went up to 252% at the end of June and that is 8 points of which was driven by the decrease in the goodwill due to the classification of Latin America Pension and Life Insurance assets and the liabilities as held for sale. Then the remaining improvements was related to retained earnings. The expected net transaction results of approximately EUR1 billion of the sale of the Latin American business will again increase the solvency ratio by an additional 12 percentage points at the closing. And then we have the risk-based capital ratio further improved to 493% and that was largely driven by market related impacts. I think that is what I had to say as formal presentation. And now we open it up for questions. And again, Koos, Patrick, and Matt will be here to help me with the questions.
Operator: Thank you, sir. (Operator Instructions). The first question is from Duncan Russell. Please go ahead, sir.
Duncan Russell – JPMorgan: Great, thank you, good morning. Duncan Russell from JPMorgan. First question is on Latin America disposal. You've obviously retained the proceeds within the Insurance business, are you at the leverage ratio you want now for the Insurance business and does that mean that any subsequent disposal of Sul America should it occur would definitely get upstream into the holding company? Could you also then give us the economic capital impact of this Latin American disposal? And then finally on Latin America, I'm just interested as to why that was taken out from the underlying earnings where as ING Direct was not taken out from the underlying earnings. Particularly given that you – that ING shareholders retain the ING Latin American earnings until point of disposal but don't retain ING Direct, it just doesn't seem very consistent. If you could just given us an insight into the accounting decision there, please. Then my second question is on the balance sheet for the Bank and your strategy of integrating the ING Direct balance sheet into the overall Bank Europe balance sheet. How will that be impacted do you think by this whole too big to fail and C fee [ph] debate? Will that lead to you requiring an extra premium by regulators due to the fact that your balance sheet will now be integrated versus not integrating it and would that change your decision making or thinking on that front? That's it, thank you.
Jan Hommen: Thank you, Duncan. On the leverage ratio, I would say we – in Latam in the Insurance Company and the Holding Company were a little bit too high at this moment. We’d like to bring it down to have a little bit more flexibility. But, in principal, I would say anything we do is Group related. We have – as far as I am concerned we have the ability to take it back to the Group and is a normal decision-making and economic decision-making, a rational decision-making that will determine where we take these cash flows when we need them. But our leverage ratio today is a little bit too high; I think we’d like to bring it down. And we’d like to bring it down to levels that are more related to markets, so that by the time when we do an IPO we don’t have a problem with that. With respect to the underlying earnings and not why we have that with ING Direct, Patrick would you like to do that?
Patrick Flynn: Sure. Yes, Duncan, I mean this, I'm afraid, it does seem, I can understand your point it does appear perhaps a little inconsistent, but we’re just simply applying an IFRS and with the new loans. Discontinued operations is where you have an entire segment which we are disposing, which is the case in respect of Latin America. Whereas, held for sale is whether it’s a part of the business within a segment. So ING Direct US is part of – does not constitute all of ING Direct of course. So that piece goes into held for sale on the balance sheet, but is not separated in the P&L, whereas Latin America is an entire segment and so it’s excluded in P&L and balance sheet.
Jan Hommen: Okay. Matt, the economic capital impact.
Matt Rider: Yes. We don’t have the economic capital numbers in front of us, but we can get this.
Jan Hommen: Okay. And then your question, Duncan, on the second one, Koos you want to deal with that one?
Koos Timmermans: Yes, Duncan, on the C fee part I know the criteria on the C fee which has to do with size, interconnectiveness, cross-jurisdictional activity. I think overall you could argue that if we try to integrate a balance sheet, it will basically make sure that the size of the balance sheet doesn’t get bigger. So I would say, overall, C fee would not be a showstopper for balance sheet integration. In fact, I’d see it actually supporting it.
Duncan Russell – JPMorgan: Yes.
Operator: Thank you. The next question is from Farooq Hanif. Please go ahead.
Farooq Hanif: Good morning, everybody. Just a few questions. Firstly, could you update the Basel II to Basel III reconciliation of the pro forma core tier 1 ratio? I'm guessing it probably hasn't changed that much but if could give us an idea. And secondly, when you look at the Insurance ROE of 8.4% adjusted, if you add back the Greek impairment, I'm not sure if that [inaudible] or not, but you're basically within spitting distance of you 10% ROE already. I was just wondering when you look at the margins trends, the technical margin and the costs, is there anything that's kind of one-off that will bring that ROE back down or are you actually going to be hitting that early? And the related question to the Bank. Could you just give us a comment on the margin trends there, because it looks like everything's very stable ex-Greek impairment? So any change to the message in NIM in loan loss provision, the commission. I mean is there anything that we need to take into account? Thanks.
Jan Hommen: You take the first one.
Koos Timmermans: Yes, Farooq, although we don't want to disclose every quarter a spot implementation of Basel III, which is something which is going to be implemented over 2009, I think the biggest difference between – 2019, sorry, yes I didn’t want to rush things. But it’s – overall what you can see is, if I would make the sums yourself, then you say that the reevaluation reserve of ING on the bond side improved by approximately EUR200 million. That is probably the biggest driver of difference.
Jan Hommen: Matt, the 8.4%.
Matt Rider: Yes, the 8.4% in the second quarter was exceptionally strong. I think there is a couple of important points about the quarter though. So normally the second quarter is when we get the majority of our dividends on public equity, so those are reflected in the figures and you see that bit of seasonality in our figures. Although it’s reasonably small, I think the dividend number over the prior quarter last year was about EUR10 million something – something on that order. But there is also two one-off things that are in our figures and these are in the operating result margins. And the first is about a EUR70 million basically surrender charge that we took in respect of a partial surrender of a pension contract in the Netherlands. And then the investment margin is I think boosted up by about $28 million on some one-off things and again the Group pension contracts. These are all I think pretty well laid out in the quarterly report. When you have time to go through it those are the important one. But, having said that, the results are actually quite good. So we see frankly improving trends in all the margins, other than those one-offs even. Expense is under control. So these are very solid results.
Jan Hommen: Okay. Looking forward to the trends and margins for the Bank?
Patrick Flynn: Yes. Interest margin for the Bank, yes we said we indicated that we thought it would come down gradually from 147 Q4, 144 first quarter, and it’s come down two basis points broadly in line with what we said. So the guidance is the same. We think that we would expect a continued gradual decline. We were seeing a little bit more pressure in terms of the margin on the deposit side as Jan mentioned earlier, in the Netherlands, we increased rates in June between 10 basis points and 20 basis points, ING Direct has increased rates following the ECB rate rises, which were late in the quarter. So you won’t have the full effect of that in the quarter. I mean on the other hand we still have a good production as you’ve seen in the production numbers which, on mortgages, albeit that will help the quantum not necessarily the margin, because the margin is neutral. But also specialized structured finance continues to have a good production at healthy margins, which can mitigate somewhat the impact on the deposit side. So all-in-all, the guidance stays the same and we still expect margins to hold up above that previous pre-crisis levels.
Operator: Thank you. The next question is from Farquhar Murray. Please go ahead.
Farquhar Murray: Good morning, gentlemen. I had just three questions if I may. Starting with banking regulation, I just wondered if you could give us a run through of your understanding of the Dutch proposals regarding ring fencing and in particular any funding implications you might envisage from that. Turning to the Insurance disposals I wondered whether you could just update us on your thoughts around ING Insurance Belgium. I think you'd always flagged that one as slightly more difficult piece your kind of IPO plan. And then finally just on VA hedging, I mean could you just update us on where you are with that and in particular how much of the kind of book is unhedged, I think part of – actually was still unhedged. Thanks.
Koos Timmermans: Maybe, Farquhar, if you talk about ring fencing, are you talking about the new Dutch regulation liquidity measures?
Farquhar Murray: Yes.
Koos Timmermans: Yes. I mean there you could say that what we have seen over the past is that the Dutch – the liquidity measures we already work with liquidity measures since 1996. So in that sense it’s not new. What you have is slightly changes in definitions and that is something where we had to adjust to. But for the rest I mean it is not something entirely new for us. So, no – and that is something, yes, which you just take into your normal operations to comply to the new regulations there.
Jan Hommen: Okay. On Belgium, yes there was some news today that I did not really fully understood. A lot of the newspapers had an article on issues in Belgium related to our Insurance operations there. Nothing has changed. We have European Commission directive that says as that we have to sell our Insurance operations and that hasn’t changed. And we also have to divest our operations of Westland Utrecht here in the Netherlands. So these two things are still on the table and we’re working on them, and I have no further on that. So I cannot really relate to the article that I saw in all the newspapers. Matt, on the hedging?
Matt Rider: Yes. With respect to the hedging in the VA and the US, no real change since the last quarter. We remain hedged on all the – for equity exposure on all the guaranteed benefits. And I think we ended up with the quarter something like 47% interest rate hedge which is sort of very similar to where we were in 1Q.
Operator: Thank you. The next question is from William Elderkin. Please go ahead, sir.
William Elderkin – Société Générale: Hi, good morning, everybody. It's William Elderkin from Soc Gen. First of all, just a follow up from Duncan's question, I didn't quite get the answer. For the Insurance business pro forma for the Latin America disposal, is that capital structured now where you want it to be and will any further gains you may take in the Insurance business be distributable to the Holding Co. I’m sorry I didn't follow the answer you gave to that. Secondly there's a headline I think related to your press call earlier saying that you won't try and adjust the European Commission restructuring plan. If that's a sort of correct representation of what you said I just wondered how we should think about that in terms of your outstanding appeal with the European Commission later this year. And finally just a detail question; within the leasing profitability of the Bank how much is attributable to the Car Lease business which has been sold?
Jan Hommen: Okay. On the Latam, the – in principal, all the things that we do, all the sales that we do are basically – the cash that’s been generated is basically always cash for the Group. But when we decide it’s not, it is for a reason, and that’s why we explained, we believe that the debt level and the leverage in our holding company for Insurance is a little bit too high when we compare that with normal participants in the market and we like to bring it down. And that’s all we are doing. And then, I simply cannot answer it any way else. Cash for me has always a corporate asset. With respect to the European restructuring, yes we have an appeal running in the European courts, there have been hearings in the court, but we don’t expect that the court will decide anything before let’s say six, seven months. And, yes, I cannot give any further information on that. We are waiting the decision by the courts. And the last one, Patrick?
Patrick Flynn: Could you clarify your question with respect to Car Lease? Was that the – in respect of the impact in margin going forward or the contribution to capital on the sale?
William Elderkin – Société Générale: Within the overall leasing profits you report for the second quarter, how much is attributable to the business that is up for sale or has been sold lately?
Patrick Flynn: The profit element is about EUR56 million for Car Lease for the half year.
William Elderkin – Société Générale: Can I just come back on one point? You said pro forma for the Latin American disposal and the retention of those gains within the Insurance business. Does that leave the Insurance company capital structure where you want it to be?
Jan Hommen: We can only determine that at the time you go to an IPO. And I’m saying that’s the time that we determine that. I would think at this moment, my answer would be yes. They will be well capitalized. This is what we are doing today.
William Elderkin – Société Générale: Okay. Thank you.
Operator: Thank you. The next question is from Hans Pluijgers. Please go ahead.
Hans Pluijgers : Yes, good morning, gentlemen. Two questions from my side. First of all, again on the C fee surcharge. You have got already some feeling how the discussions with the regulators are going, if at all? Any indication which level you should work with in future respect to your quarter one or CAT 1 on the Basel III? Have you got any feeling on which direction we should think? Secondly, on the investment spreads, a good development already in Q2. How do you see development with the investment spreads going forward? Do you see from the current level, without, of course, exceptions of further clear improvement, do you take additional measures there to further improve the investment spread? I know you have a target of slightly above 100 basis points, but could you give us some more feeling on what you're doing at the moment?
Koos Timmermans: Yes, Hans, on the C fee 1, ING at the moment we have a 7% minimum requirement, and on top of that there will be the C fee bucket. We expect ourselves to be in one of the more lower buckets and that is also what we have seen in some of the researches and the some list, but we don’t have the final answer, and that is what we are awaiting. So again anticipation one of the lower buckets.
Matt Rider: With respect to the investment spread, I think we have been pleased that the pace with which it's grown. But certainly in an uncertain market environment you want to be a little bit careful to rerisk too quickly. So we’re at 99 basis points now. We had given our guidance at 105 basis points. I think we’re moving Latin America, actually reduced it by a couple of basis points. At this point we’re not changing our guidance, but we want to be cautious about this.
Operator: Thank you. The next question is from Thomas Nagtegaal. Please go ahead.
Thomas Nagtegaal – RBS: Good morning, gentlemen. Thomas Nagtegaal, RBS. I have two questions remaining. First of all, could you say something about the margin of volume outlook for structured finance, it’s been clearly the star performer of your commercial banking franchise? And do you expect, let’s say, new volumes and margins to remain at the same level for the remainder of the year? Second, regarding the investment income in the Benelux, which is extremely strong, did the – was the margin uptick realized during the quarter or at the beginning, do you expect some further uptick during Q3? And could you explain exactly what you did in terms of reinvestments? Thanks.
Patrick Flynn: In respect to structured finance, the margins have held up well. There have been limited changes. They're broadly stable as compared to the prior quarter. The good production, we are seeing some more competition, so it’s focusing on trying to – which is normal giving what you see is a very healthy market and performance by ING. So we’re focusing on margin preservation. Volumes are roughly stable.
Matt Rider: Yes, on the investment margin in the Benelux, a couple of key things. I think first of all we already had called out about EUR28 million of kind of one-off things related to interest credited more so than investment income. And also we have seasonally high dividends in the quarter and that’s a change that we have seen from last year. We actually see actually higher dividends out of our holdings there, so that’s a – that’s a positive result. Whether they occur at the beginning or at the end of the quarter is not so meaningful. For the balance of it, if you – just if you look at sort of the core investment margin over the prior quarter, it’s just simply due to the reinvestment of cash and longer-term securities and a little bit of credit re-risking.
Operator: Thank you. The next question is from Benoit Petrarque. Please go ahead.
Benoit Petrarque – Kepler: Yes, good morning. Benoit Petrarque from Kepler. A few questions. On the funding, I was wondering here what has been the average funding maturity of your issues this year and where you're going to be next year, as well? I mean what can we expect in terms of duration of your funding at the Bank – on the banking side? Second question is on the Retail Benelux, which is a bit disappointing in terms of level of loan-loss provision. So can you dig into – a bit into the outlook there in terms of SMEs and also pure retail? And do you have, actually, a split of the loan-loss in the Benelux, between what is SME/midcap – mid-corporate versus pure retail? And then, finally, we see long-term rates coming down sharply in the US and Europe. So could you just update us on the MCV there, on those business? And also, on the reinvestment spreads, what do we – where do you think we are going to end up end of 2011 on the – at the margin, please? Thanks.
Koos Timmermans: Yes, maybe, so on the – Benoit on the funding side on average what we have been doing is issuing this year more in the five-year range. I think if you go back to the presentation page 19, what we tried to establish is not so much that I have a target in terms of issuing five years. You want to create more or less equal buckets of refinancing. And so in that sense you try to get more 2015, 2016, 2017, 2018 buckets filled right now rather than the earlier buckets, but again that also has to do with what the markets are prepared to give. So, but, overall a bit longer maturity is what we have done. Yes. I think what you see on the retail loan-loss side is to be honest we had in the first quarter and that is what I mentioned at that time when loan losses were made a steep drop, then we really had on the SME side, we had actually just a fantastic quarter without any incidence at all. Now it’s a little bit more turning back to normality because I mean on the SME side you will still see some loan losses happening there. So it’s more sort of a return to normality in terms of levels. So in that sense not something that it’s a steep increase, it’s a bit back to normality. And you see a little bit of an increase in Belgium and you see a little bit of the decrease in the Netherlands.
Matt Rider: Yes. On the effect of lower interest rates, I think first of all we’ve provided some earnings sensitivities on interest rate movements within the quarterly report, so you can go back and look at those. With respect to MCV movements, I think you know that we don’t publish MCV, but I think good to go back and look at the annual accounts where we do give the available financial resources which is a decent proxy for it and there you can see some of the interest rate sensitivities in that disclosure.
Patrick Flynn: I mean in respect of interest margin, and we don’t really go into the lot level of detail in terms of the – of what we disclose, so I’m afraid I can’t give you that level of granularity. But we can say I mean in terms of the market, the mid-corporate still remains demand somewhat muted.
Operator: Thank you. The next question is from Jan Willem Weidema. Please go ahead.
Jan Willem Weidema – ABN AMRO: Good morning. Jan Willem Weidema, ABN AMRO. A few questions. Firstly on the sequence of the Insurance IPOs, when will you state the decision on which business to IPO first, and when will you inform the market? Secondly, on the EC court case, do you still expect the possibility that you will settle with the EC before the court comes to a verdict? Those are my questions.
Jan Hommen: Yes, Jan Willem, with respect to the timing on the sequence, we cannot give you anymore guidance than that we will be watching this very carefully, we’re watching the markets carefully. The only thing we can do is we – we need to make sure that we are ready and that’s what we are working on. We are ready with respect to what needs to be performance wise and we are ready with respect to separation, the preparation that needs to be done, then we have everything in place to be a stand-alone company on both sides of the ocean, and in the US as well as here for Asian. And this is what we’re working on. So whoever is first will be determined by the market and whoever is ready. With respect to the European court case and are we talking with the European Commission, no we are not talking, except for regular updates and discussions on specific topics that we are not negotiating in any way. And we want to – I think we want to hear what the court has to say. But eager to hear that of course.
Operator: Thank you. The next question is from Lemer Salah. Please go ahead.
Lemer Salah – SNS Securities: Good morning, everybody. Lemer Salah from SNS Securities. A couple of questions from my side. First of all, a follow-up question with regard to the IPOs. Well, you mention – you have mentioned often that it depends on the environmental developments. Can you highlight which factors are crucial for you to come up with an IPO? That's my first question. Secondly, can you elaborate on the disentanglement of ING investment, and how this process is evolving at this moment? And my final question regards what can ING do beyond disposal of the Insurance unit and with Westland Utrecht Bank to reduce complexity even further and sharpen its focus? Thank you.
Jan Hommen: Okay. I did not really catch the environmental issue related to the IPOs. Did you relate to the weather or so, or –?
Lemer Salah – SNS Securities: No. I mean the market. The market and market-wise.
Jan Hommen: Okay. Yes. No, no, I think – yes, the markets, of course the market has to be ready to accept an IPO. And we also want to do that at a price that we think is acceptable to our shareholders. And I don’t think at this level that we can say that we are very satisfied with the way the market is today and I don’t get the impression that they are ready for an IPO right now. So we have some time. We don’t need to worry about that. We have time until 2013, so the same time as your [inaudible] in this project. But it doesn’t mean that we are sitting here and waiting. No we are sitting here preparing ourselves to be sure we are ready when the market is ready for us. I’ll take the last question, I did not hear the second one. But disposals, further disposals on complexity, I think what we have done is we have really decomplexed the organization quite a lot already. If you look at the slides, there are some couple of slides that we have to show what we have done in a very short time. I think it is just incredible that has happened here. And we continue with the work that we are doing and certainly the work that Koos will be doing in his new capacity as Vice Chairman of the Bank where we are looking at opportunities related to new regulation and how can we then structure our balance sheet in the best possible way relative to our strategic positions and operationally, I think that will be very important. But we have done I think a lot of work on making our organization simpler or complex. I think we have a lot more focus. So I don’t see at this moment a big need to really say, “Yes, we have additional things on the agenda.” But we’re working our normal schedule that we have outlined for you and I think that’s where we are staying with. What’s the second one?
Lemer Salah – SNS Securities: Well, perhaps I can –
Jan Hommen: Yes.
Lemer Salah – SNS Securities: – rephrase my second question. Can you update us with regard to the investment management unit and how this process of disentanglement or even other possibilities are evolving at this moment?
Jan Hommen: Matt.
Matt Rider: Yes. We had actually taken most of the disentanglement steps back in 2009 when we announced that we would really try to make this a standalone investment management organization. So it’s always been part of Insurance. And since 2010 we reported it separately. We have arm’s-length pricing agreements already in place. So that goes along quite well and not a lot of change. The only thing that’s happening right now is since we go with the two IPO scenario, we have to take the additional step of sort of getting the organizations right in the US and right in Eurasia, but that goes along I think quite smoothly.
Operator: Thank you. The next question is from Matthias DeWit. Please go ahead.
Matthias DeWit – Petercam: Yes, good morning. Matthias DeWit from Petercam. A few questions from my part. First of all, on the Insurance capitalization, you remain cautious despite the retention of delay in proceeds and the recent debt to equity swap. I wondered whether you see any regulatory pressure from Solvency II or in the US to further strengthen the capital base going forward, prior to those IPOs, because you haven't provided a lot of details in this respect. Then, second, on ING Direct; how confident are you in getting regulatory approval in the US, following NCRC's attempt to block the transaction? And then the last question is on the NPLs of the Real Estate segment. We see them creeping up a bit quarter after quarter, we also see some worrying signs in several countries, could you maybe comment what's happening in your book and where you see the NPLs of this segment going forward? Thank you.
Jan Hommen: By the time that we would go to market with our insurance companies, of course, and certainly in the meantime as well, we will have discussions with our regulators to make sure that they are comfortable. And, certainly, if you have many countries involved, they’re also many regulators that we will have to satisfy. So that is the process we will be engaged in and that’s one of the things we need to and that’s why it takes time and preparation time to get all the approvals really well lined up. And so that will take some time. With respect to ING Direct and the NCRC, yes, I think that’s an issue that you need to discuss more with Capital One. They are in control of getting all the approvals. I think I’m not in a position to really comment on that. With respect, Koos, with the real estate?
Koos Timmermans: Yes. Maybe, on the real estate side, a few comments. So the first is if you looked at Q1 it was exceptionally low. If you look at Q2, it picked up a bit again due to some larger fouls. Overall what I have stated the trend is, is that we see a gradual decline of our overall loan losses to at the levels below the average of last year and that is what you see happening that the market share of real estate and that will pickup because that is in a type of lending which just has a longer cycle than some of the other parts. And if you take then by in large the other part which is that we have a EUR34 billion portfolio and you see a EUR110 million which is not a significant part evidencing that you have a portfolio in great difficulty. I would say on the contrary it’s holding up well. And, overall, if you look at Real Estate, it’s modestly declining in terms of overall exposure. So those are my remarks with regards to the real estate in the total perspective. So in that sense, now not to get too excited too much about it.
Operator: Thank you. The next question is from Federico Salerno. Please go ahead.
Federico Salerno: Yes, good morning. Just on this [inaudible] Sul America, Mr. Hommen. Can you give us an update? I mean is it still reasonable to assume you will dispose of it in the coming months, say before year-end, despite the recent volatility, and what's your view on that? Thank you.
Jan Hommen: Okay, good morning. Yes, the disposal of Latin America is the GRUPOSURA and we are working together with them. It’s very hard to make sure that we can get it done as quickly as possible, but it will take some time, because we need to get approvals here as well, local approvals in the various countries we operate in. Our plan is to do it before the end of the year. And I think that is also that the plan has – the plan is that Sul is looking at. The other question you asked was related to Brazilian I think. Yes, there we – I cannot give you any further comments. We – it is not included in the transaction we have done with Latin America, that is GRUPOSURA. And we will at some point come back to you with an update where we stand on that one, but at this moment I have nothing to add.
Operator: Thank you. The next question is from Francois Boissin. Please go ahead.
Francois Boissin – Exane BNP Paribas: Yes, good morning. This is Francois Boissin from Exane BNP Paribas. And coming back to your Insurance operations, could you give a bit more detail on the EUR111 million positive impact that you saw on alternative assets and CMOs? And the follow-up question on that is, when – I mean in what timeframe do you see a 10% plus return on equity for Insurance operations? And second question is on the sales. At Insurance, it seems that you are quite behind your long-term target there. I mean could you give us a bit of comment on how you see things going forward? And the last question on Insurance in Belgium. Why not include in an IPO? Could you give us some background on the choice to actually sell it separately? Thanks.
Matt Rider: So let me take the first couple of these. I think the EUR111 million gain that you saw in the US was roughly split 50-50 by alternative assets like private equities and also a gain on the result of a portfolio CMO securities that are marked-to-market. And, effectively, that one is – even though interest rates are down and normally we would expect to see gains in this as people end up not refinancing their mortgage the issue in the US now is that you’ve got home prices that are significantly below mortgage where mortgage balances are so you don’t see refinancing and that’s what’s driving that. But it’s about 50-50 with the private equity and that CMOV asset class. As to the 10% ROE, we’ve said that I think in the April 2010 Investor Day that we would shoot for something north of 10% by 2013, we have not – we’ve not revised that estimate. We would expect to keep it in that same area. With respect to sales, it’s actually quite a mixed bag in the quarter, because even though sales are I think a little bit down from the year-ago quarter, what you’re seeing is different things in different regions, you’re seeing for example in Asia where you have sales that includes Japan is basically flat to last year, but if you exclude the COLI sales in Japan that we had in the second quarter of last year I think the rest of the AP was up something like 14%. So the region was actually quite good. Similar thing that’s going on for the US business where you had overall again 12.5% decline excluding currencies, but you had stable value sales which were actually quite low margin. They were down 58%, whereas the sales of the core retirement services businesses were up 17%, and life insurance was up 32%. So it’s actually quite a mixed bag. And, I guess the bottom-line is that we’re getting even though the top line sales number is down, we’re actually getting the sales in the areas that we want them.
Jan Hommen: Yes, with respect to Belgium, we have to separate the Insurance operations in Belgium from the Bank. And if Bank Insurance has worked anywhere it has in Belgium. You see that the Bank really is the channel and has integrated insurance in the operations of the Bank. So it is quite a cumbersome process to separate them. And then they need to find the place where they have a home as well with someone who wants to sell these products. And I think that we are evaluating all the options that we have to see how that can be done. But we have basically very strict orders of what we need to do. We simply cannot renege on that. This is a requirement that we have as a result of the European Commission and we need to execute that.
Operator: Thank you. The next question is from William Hawkins. Please go ahead, sir.
William Hawkins : Thank you. I just have some questions of detail about your Southern European sovereigns slide. Can I confirm; the impairment that you've done on Greece, have you impaired that to the market price at the end of June, or to some other reference period – reference date? And what will be the sensitivity now to future market price movements, up or down? Secondly, the EUR123 million for the Insurance business, is that net of any sharing of losses with the policyholder, or has the shareholder taken the whole whack? And can you explain to me the logic of whatever the answer is? And then, finally, can I just confirm that, basically we're seeing the full picture here of your sovereign exposure, and that you haven't, for example, only shown us AFS and ignored held-to-maturity or loans or whatever? And, specifically on that point, is there any synthetic exposure from CDS underwriting in the Bank or the insurer that may not be captured in this slide?
Patrick Flynn: Okay. I’ll answer that. We’ve taken the impairments for bonds maturing up to 2020. We’ve taken that to market value which is standard IFRS accounting. That is a impact which is higher than what may be the ultimate 21% targeted cost from the IAF agreement. So the market – marked-to-market is at 30th June which is the date at which we took until the accounting closed the book until the impairment charge. So standard vanilla IFRS accounting. Going forward, it does mean that the – if the market prices were to drop below the level of 30 June, you could have a further hit to P&L, on the other hand which is hopefully more likely is when the IAF agreement starts to be executed and banks have signed and insurance have signed up start to exchange their bonds on to the four options that are provided. You will see hopefully the prices tightening towards the price employed by the exchange which could result in a positive. We have no synthetics. There are no trading book or held to maturity, so this is it – we've disclosed the full amount.
Matt Rider: On the EUR123 million impairment that we took in Greece, that is a – it is a gross number, but – and there is a very small amount of it that would be subject to discretionary policyholder profit sharing, but it is a very small amount. And so basically our liabilities are in Euro.
Operator: Thank you. The next question is from Marcus Rivaldi. Please go ahead.
Marcus Rivaldi: Good morning, everybody. Just a quick question please, again on progress with regards to the Insurance IPOs. Where are you in terms of legal restructuring of the Insurance entities ahead of the IPO? And, I guess, the key question I have is whether the Insurance holding company, whether you have decided whether that Insurance company will ultimately stay within ING and the operations underneath it go, or it goes as part of one of the IPOs?
Jan Hommen: Okay. Well, that’s one of the topics that we are working on at this moment. Legal restructuring is one of the first things that you do and then we add – once you have the determined how you do that, you need to do the capital planning around that. And then by the time that you had done that and all the other things are in place, you’re ready for and the market is ready to go to markets. Now we’re in the process of all doing that. We are looking at how do we structure the Holding Company as it with or result, that is still one of the topics that we evaluate it further. And once we have that all figured out and decided, then we can communicate it back to you.
Operator: Thank you. We have a follow-up question from Duncan Russell. Please go ahead, sir.
Duncan Russell – JPMorgan: Back to the European Commission. It's not clear to me what you're hoping to get now from the European Commission, so could you just outline what you would like to see happening from your arbitration with the European Commission and what you would like to change about your agreement, and could you be as clear on that as possible? And then, secondly, just coming back onto the leverage ratios; who is giving you the guidance that your leverage is too high? Is it rate agencies, is it the regulators, or is it some other participants in the market? I'm just wondering how you get to that conclusion, particularly given the difficulties that are clearly apparent when you try to compare leverage amongst financial groups, both in terms of definition of debt and obviously in the calculation of shareholders' equity. Thank you.
Jan Hommen: Yes. Duncan, I cannot give you more color on the discussions we have with the European Commission. I have said earlier we update them, we’ll make sure that we are in touch with them when needed on particular files. With respect to the court case, the only thing we can do here is wait. We have hope that we have – we – there is no more than that. And, of course, if we didn’t not believe that we had a case we wouldn’t – not have filed that to the court. So all we can do now is wait and see what the ultimate decision will be and then we can determine further what our next steps will be for us. Leverage; leverage has to do with how the market sees it. We do comparisons with peers, it’s not so simple, because as you know, not everybody is showing very clearly our leverage is working in these companies. The other thing we do is we – of course, we have our discussions with rating agencies and we have our plans with respect to what type of company do you want to set in the marketplace and what rating do you want. And all that will determine at the end, what type of leverage that we put in into these companies. And as I said earlier to another question, we are still working a lot on the legal parts how the framework will be and how exactly it will look like when we go to markets. All that has to be done before we can really be extremely specific on how the leverage at the end will be. But you can be assured we’re working on all these angles. It’s laborious work, sometimes it’s a bit frustrating, because you need to have a lot of approvals with local regulators as well for the legal parts. But we’re doing it as diligent, as quick, but also as well as we can do it.
Operator: Thank you. The next question is from Cor Kluis. Please go ahead, sir.
Cor Kluis – Rabobank: Good morning. Cor Kluis of Rabobank. I've got a few questions. First of all about ING Direct, especially ING Direct Germany. The pretax profit there increased quite something in the second quarter, while the deposits did not rise, and mortgages did not rise either. What is going on there? And then can you highlight a little bit if this is a normal run rate or just a model change somewhat there? Other question about ING direct; do you see especially in the big countries, Spain and Italy, some flight to safety, maybe not on a volume basis, but on a net interest margin basis, or especially the last two months? And third question is about the US Insurance solvency. It's now 493 RBC ratio. It's better than peers. Is it high enough given the fact that ING has some variable annuity business over there? And maybe you can highlight in that perspective a little bit about the reserve and adequacy of the variable annuity business how that has been developing? That were my questions.
Patrick Flynn: On DiBa, yes, you did note that the deposits had not grown in the quarter. But if you look back you’ll see that there has been a significant growth since the beginning of last year EUR5 billion. So the promotional campaign which helped to drive that has stopped, which helped a bit on margins. So it’s the flow through of the volume growth in proceeding quarters in healthy margins is what’s driving there.
Koos Timmermans: Yes, I think if you look at the ING Direct part, overall what you can see is that we are keeping our clients and our deposit holder and we are not paying the top rate in the market. And so implicitly what you clearly see, Cor, is that the savers who stay with us, it's either for the service or for the safety. So in that sense, we are benefiting for that and we don’t have to push on all engines there to pay a very, very high rate.
Matt Rider: Yes. On the US solvency, we’re obviously pleased with where it’s gone. It’s increased to 493% in the operating companies so, with that approaching 500%, it looks very strong again in the operating companies. But as Jan has kept on saying about capital structure, we want to be really cautious about how we go into this and how we look at capital structures as we do the – as we prepare for the IPOs. With respect to the reserve in adequacy I believe on the US VA business in the last quarter we were sufficient at the 50th percentile level which is really leading for that business and I think the number was about 1.1 billion and I think it’s come down a little bit to 900 million, something like that given the equity market decreases, but still comfortably, still comfortably there.
Operator: Thank you. Mr. Hans Pluijgers has a follow-up question. Please go ahead, sir.
Hans Pluijgers : Yes, two follow-up questions. First of all, going back on the C fee surcharge, I understand you have – you expect to be in the lower buckets. But with respect to the local regulators, do you expect that they will charge some additional surcharge above those C fee – normal C fee surcharge, because, of course, ING is relatively big for the Dutch economy. And secondly, coming back on Poland; how do you see developments there with respect to consolidation? And also, what are your abilities after you have repaid to the State in May of next year? Are you able – allowed to make any acquisitions or is the divestments of the Insurance operations still there an issue before you're allowed to do anything with respect to acquisitions?
Koos Timmermans: Yes. Maybe on the C fee part, I think – and again all this has to be firmly decided that we tend to look more like a GC fee [ph] than an LC fee [ph], so in that sense yes we will be in any bucket defined by the GC fee. And that means like I don’t think we will get an local C fee buffer on top of that. And so it’s just a GC fee where I think we are heading to.
Jan Hommen: With respect to Poland, yes there was a consolidation going on, and we’re watching that, of course, with a great deal of interest. We cannot make acquisitions, ING cannot make acquisitions at this moment. And, of course, once we have repaid to Dutch State that condition will be liberated, and we can. But first of all is still to repay the Dutch State before we can make acquisitions as ING.
Operator: Thank you, sir. The final question is a follow-up question from Jan Willem Weidema. Please go ahead, sir.
Jan Willem Weidema – ABN AMRO: Yes, thank you. On government bonds, I've been seeing some of your competitors selling huge chunks of Italian bonds. Is there any agreement or steering from the ABA [ph] or any other organization to prevent massive flow from banks to the markets?
Koos Timmermans: Yes. I think that you mentioned the ABA, ABA is the vehicle which runs the stress test. So I don’t think they are the ones. But, and again, overall I think there is no short of government or public instruction on something like that what I’m aware of.
Jan Hommen: Okay. This seems to be the final question. Thanks everyone for participating in the call and for your questions. We hope you all have a very good day. Thanks again. Bye-bye.